Operator: Good morning, and welcome to Despegar Second Quarter 2018 Earnings Call. A slide presentation is accompanying today's webcast, which is available in the Investors section of the company's website, www.investor.despegar.com. There will be an opportunity for you to ask questions at the end of today's presentation. This conference call is being recorded. As a reminder, all participants will be in listen-only mode. Now I will turn the call over to Mr. Javier Kelly, Investor Relations. Please go ahead.
Javier Kelly: Good morning, everyone, and thanks for joining us today for a discussion of our second quarter 2018 results. In addition to reporting financial results in accordance to U.S. generally accepted accounting principles, we'll discuss certain non-GAAP financial measures. Investors are encouraged to review the reconciliation of these non-GAAP financial results, which can be found in the press release. I would now like to turn the call over to our CEO, Damián Scokin.
Damián Scokin: Thank you, Javier. Let me add my welcome to all of you on the call today. We appreciate you taking the time to join us. As you are all aware, and probably heard from other companies as well it was a challenging quarter on many fronts. Latin America faced most difficult market conditions in most of the countries in which we operate, which have consumer and leisure travel demand. And we also face currency devaluation and a contraction in the air booking market in some of our key markets. Competitions remains strong online with continued high levels of investment, but we did see some kind of pull back in offline marketing channels in the quarter. Against this backdrop, we remained focused on our strategic priorities of driving non-air revenues share of mobile and improving our customer experience. We leveraged our leading market position and lowered cost operating structure to improve our customer value proposition in order to gain share and put pressure on some our competitors who struggle to match our offers. In fact, we gain share at a faster pace than prior quarters. We further reduced customer fees in air transactions, introduced higher purchase discounts, and observed the higher cost of installment pass on by our bank partners. We believe this is a right focus for our long-term strategy and performance of the business. This strategy let us to take more than 1 percentage points of share in our largest market. We grew gross bookings by 13% in Brazil in U.S. dollar terms and 26% in local currency. Several times faster than our largest competitor. Through all of these events, we never lost focus on improving our customer service, as well as executing on our long-term strategic initiatives. In summary, in a much more complex market environment, we significant outgrew the market and maintained profitability levels similar to last year. we believe we can continue to grow profitably. Let me know talk about a few key metrics from the quarter. Overall, we perform well, with transactions up 18% and gross bookings in dollar terms up 12%. We were particularly pleased that three key components of our strategy continue to play out. First, the share of Packages, Hotels and Other Travel Products with our total mix increased 700 basis points in the quarter year-on-year and accounted for 59% of total revenue. Second, the share of transactions via mobile devices was up 400 basis points, accounting for one third of sales. Mobile growth is being fueled by enhancements that have been introduce to our platform. Third, customer service quality continues to improve as we saw significant increase in NPS of 400 basis points. On the financial side revenue growth was lower than first quarters, as initiatives we undertook to increase our market share such as fee reductions negatively impacted revenue. We were also hurt by weaker local currencies. EBITDA was down year-on-year, primarily due to the investments we made in the business during the quarter and the currency devaluation. We are confident we can see a return to margin expansion once macro conditions improve. Let's move to slide four. Our results in the quarter benefited from a reduction in fees and higher package discounts. Our focus on driving sales of higher margin Packages, Hotels and Other Products and more efficient marketing to better balance, growth and profitability also contributed to this performance. As a reminder, in the second quarter of 2017, we had the benefit of Easter travel which was a Q1 event this year. Cross selling of packages is a key initiative for us and continues to perform well with transactions in packages growing 41% year-over-year. Growth is being driven by the reduction in air fees, higher package discounts, as well as more attractive finance options for installment sales. Packages, Hotels and Other Travel Products now account for 59% of total revenue and we believe there is room for further growth. Let me make a brief comment about non-air. Over the past year, we have been adding more directly contracting hotels to our portfolio, which grew by 22% year-on-year and we’re gaining traction in terms of growth in room night. Room night growth in Q2 was 24%, while this is not one of the KPIs we share on an ongoing basis, it is indicative of the success we are having executing our strategy. And we have done so in a period of overall slower macro growth environment. Gross bookings in dollar terms increased 12% in the quarter and 16% year-on-year for the first six months of 2018, slower than transaction growth reflecting lower ASPs from mix-shift to domestic, lower purchasing power and weaker supplier pricing capabilities. This was due to the softer travel market and currency depreciation impact on domestic travel market, particularly Argentina. On a local currency basis, gross bookings grew 29% year-on-year. As we have stated in previous communications, our international business is typically based on U.S. dollar prices and adjusted in local currency terms very quickly in periods of devaluation. However, suppliers to our domestic business have less ability to increase prices based purely on the valuation. We estimate that devaluation reduced to gross bookings growth by approximately 5 percentage points in the quarter. Of course, devaluation has a negative impact on overall demand as well, especially in discretionary purchases such as leisure travel. It also impacts destination mix, shifting demand from international to domestic destinations, where ASPs and margins are lower. International order mix declined by 95 basis points year-on-year in the second quarter. Moving on to slide five, we continue to identify opportunities to enhance the customer experience, whether it is through product innovation, interaction with our customer service center, or providing attractive promotions. Last quarter, we mentioned that we had recently launched call center operations in several LatAm countries, as a means to drive additional sales. To-date, we are pleased with customer response, for example gross bookings generated by these call centers were up almost 50% quarter-over-quarter with ASPs significantly above those of online bookings. We pride ourselves at excelling at customer service and our NPS scores have been a testament to that. NPS after trip experience improved by 400 basis points in the second quarter of 2018, and you can never be good enough and this is an area of our business, where we have been actively investing. Some of the recent steps that we took, include taking a more proactive approach, working with airlines and hotels to better address customer issues. We are also expanding phone coverage, easing customers’ ability to reach Despegar and introduce Chat and WhatsApp to further enhance our customer service. Good customer service also creates loyalty and we have a very loyal customer base. We want to reward them for their loyalty. We’re currently working on developing a loyalty program to be launched in 2019, we have already signed an agreement to co-brand credit cards with Visa and MasterCard. We will provide more details overtime, but these two partnerships are aim at co-developing products and services to improve the traveler experience. Let me end my presentation by discussing enhancements, we have undertaken on the technology front to improve the booking experience. New product features recently introduced include; a faster checkout on our mobile and web platforms with passenger information filled, autocompleted to reduce friction while purchasing. A re-designed My Trip section in our app to improve post sales reservations and allow for self-management. We also welcomed an integrated two new low-cost carriers to our system, Viva Columbia and Wingo. Introduced an automatic notification of super deals on flight tickets. I will now turn the call over to Mike to discuss the second quarter financial results.
Mike Doyle : Thank you, Damián and thank you all for joining us today. Moving on to slide six. As evidenced by third-party GDF data, we continue to drive market share gains across each of our four key markets, Argentina, Brazil, Columbia and Mexico. This came about despite travel industry contraction in some segments of the travel industry, due to tougher macro conditions in many of our markets. Brazil, our largest market delivered a robust performance, as we continue to drive growth in higher margin packages and hotels, both domestic and international. We also experienced a recovery in lower margin domestic air, which historically have represented a sizable share of transactions. As a result, transaction growth accelerated to 21% year-on-year, with gross bookings in U.S. dollars increasing 13% despite a 15% depreciation of the Brazilian real in the period. In Argentina, transactions were up 11% year-on-year, despite the overall market contraction. Against the challenging macro backdrop and 30% currency depreciation, growth was mainly driven by the lower margin domestic travel market. Transactions in Mexico rose 15% year-on-year, despite slower market conditions and currency depreciation in anticipation of the presidential election last month, a complex external environment and a Soccer World Cup. This good performance was mainly led by a strong expansion in higher margin packages, further supported by broad growth across all products. At our smaller markets, we saw Colombia post a solid recovery with transactions up 20%, the highest rate of growth in the past five quarters. Mainly driven by strong growth in international packages, along with higher growth in domestic air passenger traffic. Peru, and Ecuador also performed well, posting our highest rates of growth across the portfolio. Now turning to the P&L on slide seven. Revenues were up 4% year-on-year, reaching $128 million impacted by several factors. First, in addition to the reduction in air customer fees, driving cross-selling of higher margin packages. We took this strategy one step further in Q2 and introduced customer discounts in packages to accelerate market share gains. To put this into context, overall customer fees including discounts as a percentage of total revenue increased year-on-year by 700 basis points. And we gained market share at a faster pace than prior quarters. Second, we experienced a mix shift from international to lower margin domestic travel, in Argentina of 148 basis points reflecting a challenging macro environment, as travelers opted for shorter less expensive trips. And third, with the impact of the overall currency depreciation on domestic travel, mainly in Argentina and Brazil, this was due to both the mix shift from international to domestic travel and domestic suppliers having limited ability to increase prices solely based on devaluation in both the Argentina and Brazil domestic markets. The combination of these factors resulted in a 4% decline in revenues per transaction in Packages Hotels and Other Travel Products segment and a drop of 22% in the Air segment driving an 80-basis points contraction in revenue margin to 10.8% in the quarter. However, the continued strategy of lower fees has allowed us to gain market share at a faster pace than in the past as well as increase the share of higher margin packages and hotel transactions. These products now account for 59% of total revenues, up from 51% in the year ago quarter. Turning to slide eight. Currently we are achieving better returns on our marketing investments by investing in financing installments, lowering air fees and offering discounts on packages, and on incremental investment in traditional marketing. In this context, we are taking a more efficient approach to marketing spend, which remains relatively flat year-on-year and declined 120 basis points as a percentage of revenue to 33.9%. And importantly, we achieved this improvement on a lower revenue base. By contrast, we've amplified other strategic initiatives to accelerate market share growth and drive customer satisfaction levels. Let me highlight a few. First, we reduced customer fees in air transactions and increased discounts offered in packages supported by higher supplier margins. Second, we continue to offer travelers an attractive selection of customer financing and installment plans a key tool -- key marketing tool in driving conversion. Note that we also experienced higher installment plan cost primarily in Argentina from the sharp increase in the interest rates in the quarter. Third, in line with our goal of improving customer satisfaction, we continue to introduce enhancements to our fulfillment center this quarter hiring customer service agents, both internally and through a third-party service provider, driving up NPS. As in the prior quarter, we also had a higher mix of transactions where we were the credit card merchant of record instead of the airline suppliers, allowing us to offer more attractive customer financing options. These costs were partially offset by lower fraud and charge backs. While these initiatives are allowing us to further strengthen our competitive position for the long-term, gross profit declined 2% year-on-year, with gross margin contracting almost 440 basis points is slightly over 67%. Moving on to profitability. As you can see on slide nine, our strategy to prioritize top-line growth and strengthen our market position resulted in a 9% year-on-year decline in adjusted EBITDA and 130 basis point contract in adjusted EBITDA margin to 9.3% in the quarter. To reiterate what Damián said, we are confident we will see a return to margin expansion when the macro environment improves. Financial expenses for the quarter increased to $5 million from close to $2 million a year ago. Higher credit card receivable factoring expense in Brazil, driven by growth in gross bookings, together with higher FX losses from currency fluctuations more than offset higher interest income from invested cash balances. Income taxes declined almost 90% year-on-year, reflecting a lower effective tax rate from the full recognition of deferred tax assets in certain subsidiaries that were reduced by a valuation allowance in previous years. Finally, we generated operating cash flow of $300,000 compared to $7.3 million reported a year ago, impacted by reduced earnings and increase in prepaid expenses, higher CapEx and higher VAT tax credits related to a technology incentive program. Moving on to slide 10. We are currently facing a difficult macro environment. We've been operating in the region for over two decades and have faced similar challenges and have emerged each time as a leading OTA in the region. Although, we are facing near-term external challenges, we are moving ahead with the execution of our strategic initiatives, driving non-air revenue, mobile bookings and improving customer service levels. We believe these are the right actions to take to further strengthen our position in the market. Additionally, as we continue to grow our already large and loyal customer base, we will be better position to negotiate with suppliers. Together with our fixed operating costs base, this should lead to better cost leverage and improved margins. As we look to the current quarter, we are not seeing any significant changes to the macro environment and currency volatility. As a result, we anticipate the third quarter order and gross bookings growth could be slightly lower than Q2. Given that the sharp peso devaluation did not begin until early May, while in the third quarter the year-on-year FX translation headwind will impact the entire quarter. We are continuing in Q3 to compete aggressively through lower air fees and price, discounts in packages all offering attractive installment financing options that we plan to do so profitably. Our team remains optimistic about the secular shifts happening in the market, the shift from offline to online and to mobile as well. And we see attractive long-term growth opportunities ahead in the online travel market across Latin America. Finally, two additional items of note, we disclose today in our released that our board has authorized a share repurchase program of up to $75 million to be executed over the next 12 months. We believe that repurchasing our shares represents a compelling return opportunity for our shareholders. At the current share price, this represents approximately 5% of the company's outstanding common shares. Repurchases of common stock may be executed by management during the open trading window and through a rule 10b5-1 plan outside the trading window. The repurchase program may be suspended or discontinued at any time based on valuation as well as other opportunities for investment, such as acquisitions. In addition, we are filling a registration statement to registers shares held by affiliates of Tiger Global. The primary purpose of this registration statement is to enable Tiger to distribute its shares to its limited partners as one of its funds nearest its end of life. We expect a majority of this shares being registered will be distributed to Tiger's LPs. That ends our prepared remarks. We'd be happy to take your questions. Operator, please open the lines for Q&A.
Operator: Yes, thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Brad Erickson with KeyBanc Capital Markets.
Brad Erickson: Hi, guys. Thanks. Mike, I think you called out some better efficiencies or return on investment, maybe I missed it. But was that a reference at all to marketing spending, and then how should we take the comments around eventual margin expansion in the context of, I think some ongoing sales and marketing deleverage just help us with that, if you can? Thanks.
Mike Doyle: Sure. Our comments on marketing efficiency represents some improvements we made in marketing spend, in online and offline channels in the quarter. What we have decided strategically given some of the current macro headwinds was to focus our investments on conversion of shoppers to customers and providing lower fees on transactions and more attractive installment plans instead of deeper investments in more traditional marketing channels driving traffic to the site. So, this is a temporary shift in strategy, where we've done heavy testing to know that this is yielding the best results on conversion. But with more and attractive market growth and increase in traffic and shoppers available, we plan to be very aggressive in marketing including additional investment in offline and online channels. So, when that happens, you can expect some margin deleverage in marketing as we invest more heavily in the future.
Brad Erickson: Got it. And then just any help with the mix of brand versus performance as you lean into these channels going forward. Is one going to be a heavier focus than the other?
Mike Doyle: The mix of spend has not sifted significantly. So, we spend about a third of our marketing investments offline. The remaining investments in paid performance channels. And we have seen change in the composition of spend in the marketplace in the quarter, where with some peers pulling back notably in offline spend, that’s true with at least one of the global players and several of our regional OTA peers.
Brad Erickson: Got it. And then finally just any update you’re able to provide on the CFO search, would be great. Thanks.
Damián Scokin: Yes, the -- Board has hired global executive search firm and the process is well underway and hopefully, we’ll have good news there fairly soon.
Brad Erickson: Great, thank you.
Operator: Thank you. And the next question comes from Eric Sheridan with UBS.
Eric Sheridan: Thanks for taking the questions. Two if I can, one on the hotel inventory side, any sense you can give us of how much progress you continue to make on adding inventory on a country-by-country basis to augment your efforts on the hotel side? And whether the current macro volatility might be enabling some of those conversations, as people look to fill yield in hotels, and look for alternatives, maybe with online platform like yourself. And then around the loyalty program, just want to understand what some of the investments are, that might need to be made in the loyalty program before your launch in 2019 and what do you think it would do for conversion over the medium to long-term on the platform? Thanks guys.
Damián Scokin: Okay, Eric on the first question hotels inventory, we continue to add hotels through our different streams. We increased the number of hotels that we sourced directly. We – and also, we did that through our affiliate networks being Xperia [ph] outside of the America, and the other wholesalers or providers of inventory that we also saw some. So that’s continued growth on that front. As per the current macro conditions, the hotels obviously are looking for more ways to expand their revenue stream, so that it would context for us to continue growing on that front. But keeping in mind, Eric as we say, we don’t go for quantity here, we would like to keep strategy its focus on a limited number of hotels, we source directly with whom we can generate enough revenue for them and we can expect very good conditions. And the long time we will continue sourcing through third-party providers. The second question, if I recall correctly, was about loyalty programs and investment made here, is that correct.
Eric Sheridan: Yes, just the investments needed and where might do the conversion, long-term having such a loyalty program in place.
Damián Scokin: Yes, well, our approach to the loyalty program is accepting that one, it's not a program that has the aim to generate profits by itself, but rather to support and enhance the relationship between clients and Despegar. So, the answer for that, our loyalty program is to increase conversion and to increase repeat rate of purchase As after the investments and the amount of that impact on conversions, obviously we have a business case that very preliminary and we’re going to test and learn from the real impact of that loyalty program on our conversion rate. We after specific investments, we have reach agreements with creditor flags and are working on agreements with bank that we expect that will completely finance and pay for all the investments required.
Eric Sheridan: Thanks so much.
Operator: Thank you. And the next question comes from Brian Norwalk, with Morgan Stanley.
Brian Norwalk: Thanks for taking my questions, I have two just – can you maybe talk to – I know the macro environment is still a little bit unstable, can you talk us sort of what are you seeing in hotel and other transaction growth, at this point, as we kind of get into mid-August, and then what signs are you sort of looking for as evidenced that it’s time to sort of step on the performance, marketing spend again that sort of focus more in traffic growth, how should we think about timing of one year to accelerate that growth? Thanks.
Damián Scokin: Well, as per the macro context Brian, as we see the – impacting. As you see the macro is impacting overall demand in two ways. One is for field [indiscernible] market like Regina [ph], GDP growth expectations have been lowered significantly since we last talk. In March, when we talk expectation for Argentine GDP growth we're over 2% and now, people are expecting a significant contraction for this year. And in the case of Brazil, a full 1 percentage point was reduced in terms of GDP growth expectations. So, there is an overall demand take up scenario. And on top of that, you have the foreign exchange effect, in which makes international travel more expensive for Latin America, which not only affect overall demand, but a mix shift in between international and domestic, which is obviously affecting not only demand, but ASP for us. So, as we are going to say, we assess the context, and, in that context, we balance growth and profitability trying to maximize the long-term value of the company. And in that balance, obviously marketing investment are a key part of that. As Mike mentioned before, we focused more this quarter on the efforts of driving higher conversions rather than attracting traffic, because we don't believe we can in this context stimulate further demand, but rather than ensure that we were on the site end up buying. What we see going forward it's not for few more months, we will remain in this context of much lower demand that we expected. But having said that, we only be in Latin America and this will our cost gone through these processes of up and downs before. So, having certainly timeframe on where we're going to get back to normal half permitted tariff. But we've experienced this before on the demand we come back hopefully sooner than later.
Brian Norwalk: Okay. Thanks.
Operator: Thank you. And the next question comes from Rodrigo Iniesta [ph] with Itaho.
Unidentified Analyst: Hi. Thank you for taking my question. It's if we could come in term, how the elimination of the price lower on domestic flights in Argentina effect your strategy going forward. And how it will impact the margins?
Damián Scokin: Yes, thus for everyone on the call to clarify. Like months ago, the Argentine authority authorized airlines to charge whatever they want for a few of them maybe surprising, but it was a pure limit to lower air prices. That will extrapolate great news for us, because as we say the more people travel, the more this figure will come from new businesses. And within a very adverse macro scenario, this was a good relief just to give you an idea on the week that that measure took effect, sales shoot up significantly on that week, we sold perhaps domestic tickets 80% more than the same week last year.
Operator: Thank you. And the next question comes from Kevin Kopelman [ph] with Cowen & Company.
Unidentified Analyst: Hi. Thanks a lot. I had a question on the take rate. So, your actions to reduce fees and introduce discounts drove that down in the second quarter, 700 basis points. To what extent where those fully implemented in the second quarter or should we see a bigger impact going forward. Thanks.
Mike Doyle: This is Mike, I'll take that. So, we haven't made any quarter-on-quarter changes in that strategy. So, we have -- there is two impacts impacting revenue margin. One is a reduction in fees, most typically on-air transactions to drive conversion of air only customers into the package booking path. And then the other has been on packages themselves. So, in this environment we've been able to negotiate for larger discounts from suppliers on packaged inventory giving greater availability of inventory. And we are passing on in a higher level of those And we are passing on in a higher level of those margins of savings to the customer. And so, there is both our headwinds to revenue margin, but we think our driving conversion. Part of our strategy here as well is to put some pressure on our competitors in the region. And we believe that over the longer term that these are, that's a typical strategy to be followed and that's true also on more attractive installment offers. We have seen some pullback from some of our regional peers. And their strategies of reducing these and increasing installments. And we've been able them also to recover some portion of the fee reduction in the quarter. So, quarter-to-quarter we don't expect additional headwind.
Unidentified Analyst: Okay, great. Thanks. And then one other one, can you give us an update on M&A. Your appetite and outlook in the current environment?
Damián Scokin: Yeah as we said in previous calls, it will remain in active conversations with several potential targets. Our appetite in this context is even stronger than before, but we are cautious, we want to make sure we add value with this type of activities.
Unidentified Analyst: Thanks, Damián. Thanks, Mike.
Operator: Thank you. [Operator Instructions] And the next question comes from Luca [ph] with Kolesnikov.
Unidentified Analyst: Yes, good morning. Given the high volatility of the different currency in the countries you operate. Are you doing any currency hedging to match your current assets and current abilities? I mean the accounts receivable in local currency versus the accounts payables which I presume are in U.S. dollars. Right.
Mike Doyle: This is Mike. So, we are very closely monitoring our currency exposure. And we do use hedging instruments when needed. In our business which is almost entirely prepaid transactions. We are continually collecting from our customers and then we maintained payables due to our travel suppliers. Given our portfolio of markets that we operate in, there is very complex flows of cross-borders based on travel patterns. So, collecting from customers in Argentina that may check into hotels in Brazil. So, we are always monitoring our balance of credit card receivables from customers and supplier payables to our travel suppliers. We are in many cases, able to naturally hedge given those flows. And there, we are out of alignment for whatever reason given demand in an individual market or change in travel patterns. We use hedging instruments to make sure that we're not taking currency exposure on our working capital.
Unidentified Analyst: Okay. Thanks.
Operator: Thank you. And the next question comes from Noah [ph] from Boehringer [ph].
Unidentified Analyst: Yeah. Thanks for the call. What will be the revenue margin impact of the fix as we continue to improve, or should we take the current take rate going forward?
Mike Doyle: So, as we mentioned on the call, we had some pressure on revenue margin in the quarter. Though we don't expect additional headwind on margin in Q3. We're continuing our strategy of fee reduction to drive conversions and also packaged discounts for the same reason. But are not expecting additional headwind on margin.
Unidentified Analyst: Right. So, in the, for the next few quarters and years, can we assume the same thing?
Mike Doyle: So, our strategy on fee reduction in packaged discounts is very much in response to the current environment. So, we'll evaluate that as we go and how effective it is and continuing to drive conversions. Structurally longer-term as where the business continues to shift to packaged business and hotels, those two products are higher margin than our average. And should provide some lift or tailwind to the revenue margin.
Damián Scokin: Just wanted to add that, remember that in the past we mentioned that we adjust fees very dynamically on a market-by-market basis and in the context live we are facing now, makes perfect sense to reduce our fees to encourage conversion. While us, the context changes, we will permanently update that strategy, hopefully within to higher fees and particularly with increase of higher margin products that will be the case.
Unidentified Analyst: Great. And as you said that, the currency impact only happened in May, so therefore the full impact of the weak macro is probably not been felt, so can you see that from the beginning of the quarter to the end of the quarter, so we can see a substantial change in the good numbers we have seen in Q2, going into Q3.
Damián Scokin: Yes, the two weeklies, the change of context took place through half of Q2. As Mike mentioned the FX particular impact was has already taken place. The remaining of Q3 what we’re seeing in Q3 similar to the last portion of Q2, in terms of macro context.
Unidentified Analyst: Right, and also, the technology product development spends, we managed to bring it down sharply quarter-on-quarter, so has there been some shift into the balance sheet?
Mike Doyle: No, so the change there we’re actually continuing to invest in our technology team and we increased headcounts in the quarter, but all of our technology headcounts is located in Argentina, where given the currency devaluation, the U.S. dollar translation effects resulted in some quarter-on-quarter difference and a smaller rate of growth year-on-year. But it is an area of the business that we continue to invest in, we have grown headcount.
Unidentified Analyst: Right, and that should change because, you’ll have to give salary hikes there, so, quarter-on-quarter that will increase eventually.
Mike Doyle: Over the medium-term, the plan is to continue to invest in technology, we think it’s a core competence and a big differentiator, versus our competitors in the region, given the scale of our business and our ability to invest, so we plan to continue to add headcount at the pace of the business can afford come, so we are not looking for leverage in this area, but, continuing to expand.
Unidentified Analyst: Thank you, I’ll come back with follow-ups.
Mike Doyle: Thank you.
Operator: Thank you. [Operator instructions]. And at this time, I would like to turn the call to Damián Scokin, for any closing comments.
Damián Scokin: Thanks, Before I leave the call, I also want to acknowledge and thanks Mike for his many years of service to the company. This was as you all know Mike's last earnings call, but we will still benefit from his insights, commitment when he keeps his role as a new board member of the company. I sincere want to thank Mike, for all these years and the value he has brought into Despegar. And to you again, thanks for joining the call today, and we look forward to speaking to you again at the end of the next quarter. Thanks.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.